Operator: Good day and welcome to the First Commonwealth Third Quarter Earnings Conference Call. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Ryan Thomas, Vice President Finance and Investor Relations. Please go ahead, sir.
Ryan Thomas: Thank you, Rachael. As a reminder, a copy of today's earnings release can be accessed by logging on to fcbanking.com and selecting the Investor Relations link at the top of the page. We've also included a Slide Presentation on our Investor Relations page with supplemental financial information that may be referenced throughout today's call. With me in the room today are Mike Price, President and CEO of First Commonwealth Financial Corporation; and Jim Reske, Executive Vice President and Chief Financial Officer. After brief comments from management, we will open the phone call to your questions. For that portion of the call, we will be joined by Brian Karrip, our Chief Credit Officer, and Mark Lopushansky, our Chief Treasury Officer. Before we begin, I would like to caution listeners that this conference call will contain forward-looking statements about First Commonwealth, its businesses, strategies and prospects before we turn to our forward-looking statement disclaimer on Page 2 of the slide presentation for a description of risks and uncertainties that could cause actual results to differ materially from those reflected in the forward-looking statements. And now, I would like to turn the call over to Mike Price.
Mike Price: Hi thanks, Ryan and good afternoon welcome everyone. Our third quarter 2017 net income of $21.3 million was the highest quarterly total in the history of First Commonwealth producing a return on assets of 1.14% and earnings per share of $0.22. The efficiency ratio improved to 57.9% for the third quarter. The successful integration of the FirstMerit branches in Northern Ohio in December 2016, the Delaware County Bank in May 2017 has boosted revenue to record levels thus enabling operating leverage. The team is been able to retain core positives, loans and critical talent through both acquisitions as well. Let me walk through a few financial highlights before turning it over to Jim. First, we had a modest increase in average loans of $40.7 million coupled with a bland margin to 3.61% in this propelled net interest income to $60.7 million which was up nicely on a linked-quarter basis and year-over-year given the bigger balance sheet with the two integrations. Our commercially oriented balance sheet has benefited from three rate hikes since December 2016. We continue to have traction in commercial lending and mortgage while facing some headwinds in other consumer lending categories. We've been able to keep our deposit cost low given the commercial complexion of the deposit mix in a relatively low reliance on CDs. Second, provision expense for the third quarter of $1.2 million stayed low and is reflective of only 12 basis points of annualized charge-offs year-to-date. Reflecting on several key credit indicators for the quarter, total delinquency had 18 basis points, nonperforming loans of $38.8 million was 72 basis points and total criticized assets of $125 million were all at the lowest levels in the past decade. Third, noninterest income swelled $19.7 million. The drivers include the bigger base of households stemming from the FirstMerit branch acquisition and the DCB acquisition, as well as improved performance and key noninterest income categories like wealth, deposit service charges, gain on sale of mortgage and interchange income which you can readily see in the year-over-year comparisons. Fourth, we told you last quarter that we expected the core efficiency ratio to come back below 60% before year-end, and as expected the ratio was 57.96% in the third quarter. Although our core efficiency ratio fell, we believe we still have some work to do on this important dimension of performance. We did glean the cost saves from the acquisition and the tail of this opportunity is still not fully realized, however we have also invested in our lending teams particularly in our Ohio markets, we're also building out a regional SBA lending platform, all this adds cost but we should have a near term and longer-term payback. Nevertheless, we recognize that we need to do appreciably better than our current efficiency figure over the long-term. The team has accomplished a lot in the last four to five years but we must continue striving to grow revenue and improve efficiency in order to become a top-performing bank. Some of our priorities as we look to the next year include, really enabling breakout performance in Ohio across all of our lines of business. We've acquired and recruited a high-caliber group of people in Ohio and we believe this team is poised to deliver strong revenue growth in the coming years. Also we need to continue investing in our technology platform to decisively move towards the digital future. We need to leverage our strong enterprise risk and credit culture to drive growth and also have credit cost that outperform peers through the next credit cycle. We're also refining and automating our key processes to create efficiency and support the growth of our business. And we'll also need to leverage of the SBA platform to drive loan and fee income growth in desirable markets. With that, I'll turn it over to Jim.
Jim Reske: Thanks Mike. Mike has already hit the financial highlights, so I will briefly provide some additional color on the numbers and then we'll move right into the Q&A. The company's record earnings performance in the third quarter was not only strong in the fundamentals but also relatively clean, and by clean I mean that they were no significant nonrecurring items to adjust for in third quarter results. We continue to report core profitability figures for consistency with past periods but the core figures were essentially the same as the GAAP figures in the third quarter. Mike mentioned core EPS and ROE but I would also point out that core return on average tangible common equity of 14.1% was up nicely from 11.82% for the same quarter a year ago. Earnings certainly benefited from the relatively low provision expense which at $1.2 million was well below our trailing 12 quarter average of $3.8 million per quarter, which is a figure that is adjusted for the large recoveries that we reported in the second quarter of this year and the fourth quarter of last year. Certainly our net charge-off rate in the third quarter of 8 basis point to total loans was well below the trailing 12 quarter average of 34 basis points, again adjusted for the large recoveries. We continue to reiterate our guidance that given some of volatility in our provision expense in the recent past, the best way to understand the credit performance of our company is to look at long-term historical trends rather than the provision expense of any given quarter. Now to be completely fair, a 12 quarter look-back period includes some negative credit experience in the last energy cycle, so the truth is probably going to be somewhere in between that historical average and our current experience. In an event our long-term goal is for credit cost to converge with and eventually exceed that of our peers and we are pleased to see progress towards that goal in the third quarter. The strong net interest margin growth improved spread income which was up by $1.8 million in the last quarter despite loan balances that were essentially flat for the quarter as three large commercial loan payoffs totaling approximately $38 million massed growth in commercial loans. I would add that one fortunate consequence is this, is that because annualized deposit growth of 3.74% outpace loan growth in the quarter, the loan to deposit ratio came down ever so slightly from 97.1% last quarter to 96.8% that's a very small change but it does reduce funding pressure at the margin and of course it’s a vast improvement from the 109% loan to deposit ratio of a year ago. Finally our effective tax rate was 30.29% in the third quarter. And with that, we will take any questions you may have. Operator questions.
Operator: [Operator Instructions] The first question comes from Steve Moss of FBR. Please go ahead.
Unidentified Analyst: This is actually [Cub Petersen] on for Steve today. Good afternoon. Just wanted to get little bit on the margin, looks like you had some nice expansion on the loan yields this quarter was that all from recent rate hikes or were there any recoveries in there just how should we think of that moving forward?
Jim Reske : There is a combination of several factors one is the loan looking off in DC even though they were March where with slightly higher yield and around so it was slight lift from that. But the replacement yield that come in very nicely. We have seen positive replacing yields in the loan portfolios. This quarter it was not consistently positive across every portfolio but in the aggregate it was quite positive and so there has been real lift from the replacement yields. And then of course the other thing as you alluded to is the increase in the variable rate portfolios from two Federal Reserve interest rate hikes.
Unidentified Analyst: So I guess just do you guys have an estimate of kind of what new money yields are on loan production now?
Jim Reske : Yes, some of the yield production coming on this quarter had unadjusted yield of around 4% coming on.
Unidentified Analyst: And just a quicker math about how - what percentage of your portfolio kind of reprices off of some the short-term rate increases?
Jim Reske: Right about 42%. There is an additional piece of the portfolio that will reprice over time but not immediately but in the first month after rate hike about 42% of the portfolio would reprice.
Mike Price: About 42% of reprices immediately but 62% is variable.
Jim Reske : Correct. The other 20% reprice over the ensuing years.
Unidentified Analyst: And I guess just last one for me and then I'll step out. Looks like it was a good quarter for trust fees seasonality looks like might have played a role in there, as well as the acquisition, but just want to see if we get anymore color on trends you guys are seeing in that or we should view that moving forward?
Mike Price: You fit on a couple of the key things obviously the market is up. We also acquired really a nice team with Delaware County bank and that's really added to our business. We also see in our core business here in Western Pennsylvania really nice new business pipeline in the trust then wealth business.
Unidentified Analyst: I guess is there any kind of metrics whether it's AUM or kind of size of the team that how big is that that came over from DCB?
Mike Price: I don’t recall specifically.
Jim Reske: We just have the number and we disclose that in the past with that term, it certainly adequate to the business.
Operator: The next question comes from Daniel Cardenas with Raymond James. Please go ahead.
Daniel Cardenas: Couple of questions. In terms of your fixed rate loans what percentage of those are broken through the floor and for those that have through any flows that they may happen and those that haven't, how much more in rate hikes do you need to see before you get through 100% of your portfolio with no flows right?
Mike Price: It’s a great question Dan. So we done some work trying to understand the impact of flows in the portfolio and essentially it varies loan-to-loan but in the aggregate the flows have almost no affect right now. So it’s not like we are waiting for - that there will be some portion of an interest rate hike that will not affect our variable portfolio, we’re at the point now in aggregate the portfolio where is a direct translation for rate hikes into the portfolio.
Daniel Cardenas: And then just in terms of loan growth maybe some color as to how your pipelines look right now I mean it looks like paydowns and payoffs had some impact on third-quarter growth. But as you look into 4Q which can be seasonably soft what's kind of the outlook for growth in that quarter?
Ryan Thomas: I mean I’ll just take you through the portfolios, from the consumer side we’re really seeing nice year-over-year pick up in our home equity, in our install lending through our branches. And we also have nice tailwinds with our indirect auto has begun to grow in the second half of the year. And so that's really positive mortgage as well we had a record quarter in mortgage in terms of production we portfolioed about 35% of that also construction and variable rate loans. So those all provide tailwinds and that was a portfolio that was kind of leaking oil and moving away from us, and that’s really stabilized. So that’s really positive. On the commercial side we still have some momentum in our commercial real estate although it’s a getting a little bit tighter. You're right the payoffs in the third quarter impacted results. It was a little soft in the third quarter but our pipelines look good and the guidance we’ve given around loan growth is really mid single-digits and really trying to keep the credit quality in a top-notch.
Daniel Cardenas: And then Mike alluding to your comment about, I guess there's constant need to reinvest in the franchise as we look at operating expenses in it. It sounds like there's a number of friends that you want to potentially attack but are you kind of including that in your thoughts for 2018 how should we be thinking I guess about operating expenses as we look forward?
Mike Price: As we think about efficiency ratio, we really have the leverage the expense base that we have. But we also really we need to be moving towards 55% of efficiency ratio and pass that quite frankly. As a commercially oriented bank, we made great strides in the last four or five years from the high 60s quite honestly, we still have a lot of work to do. We do a lot of peer comparisons through some consultants and we really try to close the gaps kind of by each business unit and line of business with enhancements to productivity. And so forth and those will play out really over six months a year or more but we’re focused on that and we think that efficiency is really vital to the reinvestment that will take with digital banking in the years in front of us.
Operator: [Operator Instructions] At this time there are no further questions. I would like to turn the conference back over to Mike Price for any closing remarks.
Mike Price: We just sincerely appreciate your interest in our company. The opportunity to meet with each of you from quarter-to-quarter Jim and I are always available when you have questions and thank you very much.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.